Thérèse Byars: Good afternoon, everyone. This is Thérèse Byars speaking, and I'm the Corporate Secretary of FRMO Corp. Thank you for joining us on this call. The statements made on this call apply only as of today. The information on this call should not be construed to be a recommendation to purchase or sell any particular security or investment fund. The opinions referenced on this call are not intended to be a forecast of future events or a guarantee of future results. It should not be assumed that any of the security transactions referenced today have been or will prove to be profitable or that future investment decisions will be profitable or will equal or exceed the past performance of the investments. For additional information, you may visit the FRMO Corp. website at frmocorp.com. Today's discussion will be led by Murray Stahl, Chief Executive Officer; and Steven Bregman, President and Chief Financial Officer. They will review key points related to the fiscal 2026 first quarter earnings. And now I'll turn the discussion over to Mr. Stahl.
Murray Stahl: Okay. Thank you, Thérèse. Thank you, everybody, for joining us. So I thought what I'd do today is I make a couple of general points, a variety of general points related to what the quarter was like and talk about it in the context of what we've been trying to accomplish for the last couple of years, and then we'll turn it over to questions. So, first part of the earnings themselves, the most salient event at least arithmetically, is the decline of our shares of Texas Pacific Land Trust. So it's a decline in price. We didn't sell any shares. And I'll just contextualize it. Year-to-date, oil is down on the order of 12%. Natural gas is down on the order of 20% and its earnings are, to a large degree, dependent upon oil and natural gas. So there's nothing unusual in that. What you might find unusual that you don't see too often in the company. So technically, we reported a loss, even though it's just a mark-to-market loss. I want to minimize that, but it's not a cash loss. And I say that because our cash actually increased, as you can see from our balance sheet, up to $25 million. And we haven't spent very much of that. So I would say in the. Balance sheet sense, we're not at a record shareholders' equity level. But in terms of liquidity, most of what we have is liquid. We can produce a lot of liquidity real fast if we had to. We just don't want to. And the reason we don't want to is because we're moving in a certain direction to create an operating company out of cryptocurrency. So apart from the robust character of Bitcoin and the other cryptocurrencies, it's well worth observing that we own now on the order of 44% of Winland. If we pass 50%, we're going to have to consolidate Winland. If we consolidate Winland, the financial statement is going to look different than it looks right now. And even we get to over 50% of Winland, we like to keep building the Winland cryptocurrency effort. The reason we like to do it is it's an extremely high return on capital. Now we engage in something called Scrypts Mining. Scrypts Mining is spelled with a Y instead of an I. So Scrypts Mining, what you basically do is you mine two cryptocurrencies with the same electric current you ordinarily use to mine one. So, in our case, we are mining Dogecoin and Litecoin. Dogecoin as a coin doesn't intrigue us greatly. And even though it might appreciate over time. The reason is Dogecoin has a monetary policy that calls for issuance with that end, which is not the same as infinite issuance. In other words, there's a constant issuance each and every year. And in percent terms, that issuance lessens every year because the numerator is number of coins issued, nominator number of coins outstanding and number of coins being issued is constant. N number of coins outstanding keeps increasing. Therefore, the rate of increase will diminish every year. So it has some interesting long-term properties. Basically, we mine for cash. We keep the Litecoin. And I'll talk about Litecoin in a second. And we basically use the cash to buy Bitcoin. That's the alternative to mining Bitcoin. So just a couple of points to understand why we do this. From a mining point of view, which is the same as saying from a return on capital or a use of capital point of view, one of the problems of Bitcoin, not that it's not a wonderful cryptocurrency, but it has something called a halving. And what that means is that every four years, the block reward number of coins you get for mining is cut in half. A year ago, it's called a halving. So if you're not able to improve your mining operations in terms of their efficiency every four years, you're going to have a problem, your return on capital is going to be not very alluring. So it's extremely hard work. And you have to be very careful about the equipment you're buying because the equipment you're buying could be easily obsoleted. Dogecoin in contradistinction does not have a halving. And therefore, the equipment that we buy to mine Dogecoin, which also mines Litecoin as a replica matter has a longer useful life. So I gave an example in the annual shareholder letter, when you mine this, what your return on capital really is for a quarter. It's extremely robust. When you start mining, it's not quite as robust. like anything in the world of business, you have to achieve a certain economy of scale. So buying one mining device or two mining devices or three mining devices, not going to do it. But once you get beyond a certain critical scale, you've covered your fixed expenses largely. A lot of it, not all of it, but a lot of it goes to the bottom line. That's where we are with Winland. So we'd like to build that and build the economy of scale. It's also worth noting that Consensus Mining, a related company, employs the same strategy. Consensus Mining began being traded about six -- six to eight weeks ago. And we bought some Consensus Mining shares as well. So, FRMO at the moment owns 11,950, a little less than 12,000 Consensus Mining shares. There are 2.2 million Consensus Mining shares. So we're really, really enthusiastic over the mining operations. If and when we cross the 50% barrier and we consolidate the information you provide is going to be a lot more detailed, and you're going to see a lot more interesting things in terms of what we're doing in cryptocurrency. At the moment, they are separate companies and Winland is not a reporting company, even though it really trades, and we'll see what happens if we cross that threshold. One other point I'd like to make, it's really in relation to the cash balance, but it's also in relation to our short sale position. So you'll observe that securities sold, not just purchased, our short sale position now on a cost basis exceeds $11 million, and you can look at the balance sheet and see the market value. So that's -- basically, we're not shorting securities on fundamentals. We are only shorting path-dependent ETFs. So those are ETFs despite what might happen in a profit loss sense in any given day, in the fullness of time, those securities are going to decay. It's an element of wonder to me how that being known by all the market participants is the case, and we still have the trading volume we have and the assets under management we have in those ETFs, but that's the way it is. And a not small proportion, as you can see by just doing the relevant arithmetic, a not small proportion of the cash we have in the balance sheet actually came from shorting those securities. And ultimately, those securities become either worthless or next to worthless and the cash is effectively ours to keep without, in many cases, even a relevant tax consequence. It's a really good policy. We've been doing it for years, and we intend to continue it as long as it possible to continue that sort of thing. So I just call your attention to it because it's not quite a business, but it's almost a business. So those are the salient points I wanted to bring up. And maybe now is a good time to open up. If there are any questions, I'll be delighted to address them. So, Thérèse, you have some questions or? Okay.
Thérèse Byars: Yes. We received several questions in advance. This one is I am trying to understand how MIAX shares -- how many MIAX shares FRMO currently owns post IPO. According to this table, as of May 31, 2025, the company directly and indirectly held 1,870,601 shares. Afterward, there was a 1-for-2 reverse split, which should have reduced the holdings to approximately 935,300 shares. Is this figure correct? Or am I missing something?
Murray Stahl: It's almost correct. Yes. It's almost correct. So I'll give you the exact figures. This is, of course, as August 31, 2025, and they are as follows: the restricted shares, 934,884. So pretty close to 935,000. Not a bad calculation. And we also had some unrestricted shares, 11,396. So those are the numbers as of the most recent relevant date. What's next question?
Thérèse Byars: Next is in reference to the top holdings table that we have on the website. Since some of these positions are held through funds, do you periodically sell any of the underlying holdings to cover annual management or performance fees? Over time, do the holdings at the fund level tend to decline as a result?
Murray Stahl: Okay. Generally speaking, if the cash is available, we take the fees in cash. Cash is not available because we're fully invested. We don't sell. We just take the fees in-kind. We've done that from time to time. So it makes no sense to sell the shares. We want to keep them anyway, realize gains and have those gains passed out to us and all the other shareholders. So some of the holdings have come to us via in-kind performance fees, which we're holding right now.
Thérèse Byars: At FRMO's Annual Meeting in September, it was disclosed that FRMO or affiliates of Horizon were investing in the Texas Stock Exchange. Does FRMO have exposure to this investment? And if so, what is its approximate size?
Murray Stahl: We have exposure through the various funds that we're in. it's not large in relation to -- I'd have to calculate it, see what it is on a look-through basis. It's not large. It's not a small number, but it's not -- it's a small number in relation to the size of our investments. So the Texas Stock Exchange didn't really -- when we got around to it, Texas Stock Exchange didn't really need a lot of capital. And therefore, we didn't invest a lot of capital in it. So we don't have a tremendous exposure. We have a small exposure. However, it's worthwhile noting that when we started with Miami International Holdings, otherwise known as MIAX, we started with a $200,000 investment. And today, we're the largest shareholder. So what we do over time is we get to know a company, and we like what's going on. We buy gradually over time. We just don't take a position over a very short and discrete period of time and hope for the best. The reason for that is as follows: it takes a long time to get to know a company, a very long time. And as you're getting the company, a lot of opportunities to buy shares will appear because the stock will go up and the stock will go down for all sorts of reasons, most of which have nothing to do whatsoever with the fundamentals of the company. So it'd be great to say we pick a day and we take a very big position in it. But we've never done that so far, and it's always worked for us. That's the way we're scaling. So I don't think one should draw any conclusions about what our ultimate plans are for any company just by what we own right now.
Thérèse Byars: Has the IRS' new interim guidance on unrealized gains for digital assets changed FRMO's thinking about the amount of Bitcoin that's prudent to hold on corporate balance sheets.
Murray Stahl: Well, a lot of the Bitcoin that we have is indirect through Winland and Consensus Mining. So not all of it is on our balance sheet. Of course, it doesn't make a lot of sense for us to start selling Bitcoin when it seems like there are so many wonderful things ahead of it and pay a tax. Direct holdings of Bitcoin are in round numbers, 259 coins, not a tremendous amount. Most of our Bitcoin in terms of market value is in the ETF shares like Bitcoin Investment Trust, GBTC, or the Bitcoin Mini Investment Trust, BTC. So that's where our holdings are. So I don't know how relevant the IRS guidance is to what we have. Most of it, it's security holding. It's not fiscal holding, although the fiscal holding is going to be in market value terms, not insignificant.
Thérèse Byars: Okay. According to the latest, I'm going to call it, disclosure from table of the beneficial owners percentages, it says that Murray's holdings in FRMO increased to 18.2%. Were these additional shares purchased in the open market or in a private transaction. I can actually shed some light on that. It's a difference in how we are -- we were formerly only including your directly owned shares. And now we are holding -- we are including those that are indirectly held. So while you may have increased your holdings, I don't think it would necessarily have been enough to move the needle the way this did. Does that make sense?
Murray Stahl: Okay. Let me just -- yes, make sense. Let me just say that the degree increased. It increased primarily because I personally bought in the open market. So I may own a few shares indirectly, I don't remember, but almost all my shares are on directly. And generally speaking, when the window opens up, I'm usually a buyer. So last time the window opens, obviously, I can't buy during the quiet period, the period in which we're preparing the earnings. But in an open period or non-quiet period, if you like, I'm usually a buyer in the last open period, I was a buyer directly, not by any private transactions or any intermediate vehicle. I just use my own money, I bought the stock.
Thérèse Byars: Thank you. Does the company plan on reducing exposure to investment labeled A in order to reduce risk profile?
Murray Stahl: Well, I think you can pretty much guess what investment holding a is. No, we're not doing things like that. We're leaving it alone and we don't engage in that kind of portfolio management. That kind of portfolio management is unbelievably tax inefficient. There was something wrong with it, of course, we would reduce it. But just to change the weightings, I don't see any reason to do that. The weighting is going to be whatever it needs to be based on its market value. If we think it's a good investment over time, we're going to have it since you're probably referring to Texas Pacific Land, may I just say this, there's oil, there's natural gas, it's going to last for a very long time. And then there's water. And the land. And the water is forever and the land is forever. So how many businesses can you think of where the most essential holdings are forever assets. And I don't think there are very many. So you have to come up with a very compelling reason why you'd want to sell those shares. And I at least haven't found one. But if you have one, I'd love to know it.
Thérèse Byars: So this question refers to Page 11, Note 5, digital assets. From May to August 2025, Bitcoin units went from 159 to 159.1. In the latest release of Winland Holdings financial statements on Page 22 under Winland Mining LLC. In the year between June 2024 and 2025, Bitcoin went from 76 to 79. Are you satisfied with this rate of accumulation in Bitcoin? And what is the metric for determining if the rate of Bitcoin accumulation is living up to the capital investment in this endeavor?
Murray Stahl: Well, at the moment, we're doing almost all our mining in Winland. We're still doing some mining in FRMO. That explains why FRMO had the increase ahead. We're doing almost all mining, almost all our mining in Winland. So in Winland, we're still increasing the scale of operations. So as we increase the scale of operations, the rate of Bitcoin accumulation is going to increase as well.
Thérèse Byars: Under revenue table in the just released FRMO financial statement, in the consolidated statement on Page 3, dividend income decreased from $4.4 million in August 2024 to $1.1 million in August 2025. Can you provide any insight into this change?
Murray Stahl: Sure. Because a year ago, you might recall, Mesabi Trust paid a very substantial extraordinary dividend because extraordinary, it happens once in a while, and it happened and it didn't happen in the most recent period, which being extraordinary, it's not going to happen. So we just collected the ordinary dividends, and that accounts for the differential which we got a big extraordinary dividend in every period, but we're not that fortunate.
Thérèse Byars: FRMO stock remains an illiquid trading stock, where generally only a few hundred shares trade. Is there -- are there any plans that would lead to a more liquid trading stock as well as upgrade the stock's visibility at least to the level that just occurred with Horizon Kinetics Holding Corporation.
Murray Stahl: Well, we like to do that. And eventually, we're going to do it. The fact that we haven't done it yet, the person you should blame is yours truly. As you can imagine, I've got a lot of things to do and speaking of the Horizon thing, it took a year to get Horizon to have its current visibility, and it was not easy. It took a lot of work. And eventually, we'll make the effort. From what I recall, and correct me if I air, but I believe the average trading volume of FRMO daily is now 11,900 shares. That's my recollection. So it's not as small as some might think. But you could look at it two ways. On the one hand, there are things we could do to probably get the volume up. On the other hand, the shareholders like to hang on to the shares. So I can't be too upset about that. But we will do something at some point when I have the bandwidth to do it. But today, I just don't have to bandwidth. But I will get to it. I will make an effort.
Thérèse Byars: Zcash has risen sharply over the past quarter, more than 300% in less than a month. How do you interpret moves like that? Does that kind of volatility affect how seriously you can view certain cryptocurrencies as a potential store of value?
Murray Stahl: Well, the -- there are about 40 cryptocurrencies, which Zcash is one that have a monetary policy that are similar to Bitcoin. And that's one of them. So I don't think people realized that was the case. So these are new experiences for a lot of people and cryptocurrency new experience for a lot of people. So you have to expect that the average person who invested in these cryptocurrencies thought they're investing in a technology stock. And they find out actually as a monetary policy as a value and only takes a handful of people to change their point of view, you can have a ridiculously big move in the underlying currency. And that's one. So we had some Zcash for a long time. It did less than nothing and declined. And lately, it's moved up, and I think it's very merited. It's going to be a while before the lesser cryptocurrencies had the constituencies that are necessary to fully understand what's going on. I can only hope that it's attracting educated buyers and time will tell if that's true or not. But one should not underrate the potential of Zcash in my humble opinion.
Thérèse Byars: In your letter to shareholders, you mentioned the gradual accumulation of royalty companies. Could you talk about why that process is gradual? How does that approach compare to your strategies like gradually buying Bitcoin mining equipment or shorting path-dependent ETFs, which I assume are done to manage issues like obsolescence and illiquidity.
Murray Stahl: Yes. So, let's just start with -- I'll compare and contrast, let's just start with the path-dependent ETFs. So the probability is exceedingly high. If you show so short and you can't depend ETF today, 12 months now, you will have a very substantial profit. But the probability is seemingly high, but it's not so high, it's 100%. So if you short a little bit every day, there's going to be a day or two or three in the course of 253 trading days of the year where that statement is not going to be true. And 12 months later, you're actually going to have a loss. But in relation to the 253 trades you did, you're not going to worry about very much unbalancing of the profit. Now if you did what everyone else did and you decide you're going to pick the day. And if you're going to pick the day, there's a certain probability that you're going to pick a bad day. Of course, it's not 100% and the odds in your favor, you're going to pick a good day, but there's a certain probability you're going to pick a bad day. But all of your coin -- all of your shares have been shorted that day. And therefore, spike the properties of the instrumentality a year from now, if you did that, you're going to have a loss. So if you do a little bit every day, you're just increasing tremendously the probability you're going to have a profit. So in the case of the cryptocurrency mining equipment, it's the same thing. The only risk you really have is technological obsolescence all of a sudden that we just can't dissipate that some new company enters the market that we never heard of there's a better product. Now of course, it wouldn't completely obsolete the existing product that we bought, but its value is going to be impaired by a very considerable quantity. So I ask rhetorically, isn't it better do a little bit periodically? And sooner or later, will it happen to us that some very small from your point of view, de minimis cryptocurrency mining device purchase is going to be impaired to some degree. And it's impaired to the extent of 50% or 60% or even 70%. The impairment loss is going to be minimal in relation to everything we're doing. And in the case of cryptocurrency mining, it's going to be even lessened further because you're obligated to depreciate the equipment. So if it happens a month from purchase or two months in purchase or three months in purchase, it's still something we don't want to happen, but we already would have depreciated some of it. And of course, we depreciate over three years. So why take a chance on negating the very high profit potential and very high return on capital characteristics by just picking a day on the basis of what we have no logical reason to say today is a better day to buy a great quantity of cryptocurrency mining equipment than tomorrow. We have no basis for making such an assertion. So why make such an assertion? Now royalties. The exact same thing is the case. The royalty payout that you get is a function of the price of the commodity. It could be gold, could be oil, it could be natural gas. Over time, the oil price using that increases about 4% a year. With iron ore, that increases about 7% a year. However, there are times when over the course of a year or two, using the iron ore price example, I've seen the iron ore price go down 50%. Same idea. The probabilities are decidedly in our favor. So why take a chance and decide for reasons that I have no basis for asserting today is the day. I'm going to make a very big investment in a given royalty company. And the underlying commodity goes down, and I'm going to have a paper loss for some number of years until the inevitable cost increases in production occur and give us a profit. Now you might say, how do we know that cost increases are inevitable? Well, because there's no shortage of any of these commodities on the plant. It's just that they become more and more difficult to access. So in the case of most commodities, they are embedded in the earth, you just have to go deeper. And if you have to go deeper, it costs more money. And that's why the prices rise. So we know what's going to happen. But we don't know politically or sociologically what happens in the interim. So why take that chance? There's nothing -- there's no gain that you could possibly happen. There's nothing good to come out of it. It's only something that's bad to come out of it. So the two possibilities are, it's either going to be bad, in which case you'll regret the day or it's going to function the exact same way it would have functioned if you bore a little bit every day. So you have no upside, you only have downside. So why do it? So we don't do it. Next question, Thérèse?
Thérèse Byars: Why is the $9.9 million carrying value of Horizon Kinetics Holding Corp. on FRMO's balance sheet extremely different from the one that I calculated. That is the 4.4% interest, right? That should be almost $30 million based on the Horizon Kinetics Holding Corp. market cap. Are you forced to discount it by 2/3 by the auditor? What will the new auditor require?
Murray Stahl: Yes. We're not forced to do anything. It's a question of the standard accounting practice. Standard accounting practices because Horizon Kinetics is considered an illiquid security, it's considered best -- we could mark to market. It's considered best practices to use the equity accounting. So we just use the best practices. Obviously, everybody knows what our interest is. And obviously, everybody knows what the price of Horizon Kinetics is just one click away and they can do their own calculation. But the best practice, given the fact pattern as we know it to be, is considered to be to use equity accounting, so we use equity accounting.
Thérèse Byars: Why isn't Horizon Kinetics Holding Corp. shown on the list of investments?
Murray Stahl: Why isn't listed investments? I think you're referring to the list of holdings, our biggest holdings. We can put it in there. people wanted it. It's not a problem. I thought it was obvious from the balance sheet, but if people would like to see it on listed investments, I'd be more than delighted to put it on listed investments. Not a problem whatsoever. Maybe you want to, Thérèse, attend to that for the next meeting.
Thérèse Byars: Yes, happy to. Why do you believe a consolidation of 50% of Winland with small revenues and small earnings will give FRMO a huge price to earnings valuation greater than the way it appears to be valued in book value today? And what might I be missing that you see clearly?
Murray Stahl: Well, I didn't make any statement about what the valuation of FRMO will be or won't be. So I didn't say anything about that. I just think it's better to be an operating company than be a holding company. And the reason I say it is because holding companies are generally speaking, valued historically at net asset value. Operating companies are valued on a multiple of earnings, such as they are. And how high the multiple is, is really a function of what the observer analysts think of your prospects for increasing the earnings. So that's all I'm saying. I didn't say that the market is going to do anything. I didn't say the market would do nothing. We're going to find out. But you see the direction we're going, and we've been accumulating Winland stock every quarter. So if and when we get to over 50%, we will consolidate, and we'll see what happens.
Thérèse Byars: Virginia has the most data centers in the United States with over 600 facilities collectively using around 4,900 megawatts of power or approximately 5 gigawatts. Maria has mentioned that while this sounds like a very large amount of power is actually relatively modest compared to the total energy infrastructure or future demand projections. Can you explain this?
Murray Stahl: Well, yes, the Oracle project attend to Stargate is 4.5 gigawatts. So all of the Washington, D.C., Northern Virginia metro area is the most data center dense area of the United States of America. It took a quarter century to get to 4.9 gigawatts. And now Oracle is going to get to 4.5 gigawatts, almost the same amount in a very brief period of time. So the difference is the new data centers are hyperscale data centers. They're using semiconductors that draw a lot more power. And in about 15 or 16 months, the current NVIDIA Grace Blackwell GB 200 chip, which draws 1,200 watts is going to give way to Rubin Vera chip that draws 3,600 watts, 3x as much. So obviously, once that conversion is made, the hyperscale data centers will draw 3x the power. That's the basis for it. Anybody who wants to can look up the functional specifications of the GB 200 chip and then look up the functional specifications of the Rubin Vera chip, and you can see what the power draw is and it is what it is with one salient difference. So we -- if you're going to do the calculation, you have to allow for something called power usage effectiveness or PUE. So let's make it simple. Let's say you had a 1 gigawatt hyperscale data center. And what that means is the equipment inside data center is rated for 1 gigawatt. So to be fully energized, it has to draw 1 gigawatt of power, okay? That's pretty simple. Everybody agree on that. The problem with it is 1 gigawatt of power is so much power that the act of transporting that power even over a very relatively short distance is really a long distance. And why is it a long distance? Because the chip circuitry is so complex, the distance is not measured from the point where the wire emerges from the grid to the transformer at the data center. It's really a question of the pathway the power takes through all the accumulated circuitry of all the racks. So it's really a tremendous distance. And when you travel that distance, the electrons are actually -- they are bouncing off the wires. It's called kinetic motion and that causes heat. So what's happening is you are losing a certain amount of electric power as heat as kinetic motion. So if you want -- if you have a rate of capacity of 1 gigawatt, your power usage effectiveness coefficient is going to tell you that you need to draw 1.58 gigawatts to fully energize 1 gigawatt data center. So to put it another way, if you had a 4.5 gigawatt data center and you wanted it fully energized, assuming you did, the actual amount of power is 4.5 x 1.58 or 7.11 gigawatts. That's the problem. So nobody planned for such extensive power usage. Now if the people want to have the services, artificial intelligence, virtual reality and all the other things go with it, people want to have that, well, the only way I do it is to have that power. Speaking for myself, I have no interest in virtual reality. So I won't be contributing any power to that effort. But everyone else, they want to live in Democratic society, everybody else wants it. The only way they're going to get it is they have to have that sort of power. And the effort to make that power available is truly extraordinary. And that's -- let me just give you an idea of the kind of effort that you need. So the chips, the semiconductors. The semiconductors, a lot of them are going to be doped with a rare earth metal called gallium. You may not have heard of it. Lately, rare earths are in news because the United States has problems acquiring rare earths from China. And a lot of people misunderstand that rare earth means that it's not available. It's rare in the sense that diamonds are rare, and nothing could be farther from the truth. Rare earths are found in virtually every parcel of land on the planet. What rare refers to is the percentage of the material in the earth moved is relatively insignificant. Phrase alternatively, in order to get a relatively small quantity of that substance, you basically have to move a lot of overburden. So, for example, if you wanted to acquire 1 kilogram, which is 2.2 pounds approximately, 1 kilogram of gallium, you will need to move 50 tons of rock. And I ask you to imagine if you really moved 50 tons of rock, well, it's only -- you're only getting 1 kilogram of gallium. Can you imagine what you've just done to the surface of that land area, your money, you're only getting a kilogram. If you want 100 kilograms, we multiply 50 tons by 100. And what are you going to do with this overburden once you extracted the gallium. It's not easy. And a lot of these substances are toxic. And if it rains, while you're doing it and the sub are released in the groundwater, you've got some problems. So this is not an easy thing. And imagine the kind of energy that you're making use of just to move a few tons of earth to get 1 kilogram of gallium. That's what we're talking about in terms of effort. That's only one piece of the effort. You will find that gallium is in every single solar panel in the world. So next time you walk by a building with solar panels, just be aware there's gallium on the silicon substrate and what needs to be done to get that material into the solar panel. Have you ever seen a rare earth extraction facility, I guess this is a subjective statement, but I think you might agree with it, subjective as it is. Let's just say it's not very pretty. That's the problem, and it's only one of the problems. So it's not energy efficient, it's not resource efficient and it creates a lot of environmental damage. And more importantly, it creates a lot of environmental hazard. That's just something people should bear in mind as they make use of this technology. That's all I'm saying. So it's not easy to put this into place and there are costs. There are economic costs, of course, there are also social costs and environmental costs that I think people should be cognizant of, just my opinion. So I hope that's a thorough answer to the question, but you can follow up if I haven't fully addressed it.
Thérèse Byars: What is the net asset value for Horizon Kinetics Hard Assets and Horizon Kinetics Hard Assets 2? Could management disclose the assets within those entities. Previously, it was disclosed that TPL was by far the biggest position in Horizon Kinetics Hard Assets and that PSK and MSB and PBT were the positions held within hard assets too.
Murray Stahl: Well, I'm happy to disclose it. Is there more to it? Or should I answer? Is there more to this question?
Thérèse Byars: No, there's another part.
Murray Stahl: So there are parts. Why don't I answer this part and then you can give me the other part. How is that? Is that fair? So the assets of Horizon Kinetics Hard Assets 1 is round numbers, about $330 million. Yes, TPL is the biggest position. Other positions are Mesabi Trust and PrairieSky and those are the biggest positions at the moment. There are some smaller things in there as well, but those are the bigger positions. In terms of Hard Assets 2, first, you should be aware of Hard Assets 2 actually takes client money. And it's known as the Clemenceau fund. So we renamed it after the French politician, George Clemenceau. In any event, TPL is a big position, but it's nowhere near as large in the Hard Assets 2 as it is in Hard Assets 1. Other big positions are the Permian Basin Trust, symbol PBT and the Mesabi Trust is there. And oh, I forgot to mention in Hard Assets 1, Urbana because in Hard Assets 2. And we have some LandBridge and some Alliance Resource Partners. And of course, in the Hard Assets 2, we have some Bitcoin ETFs, I think that covers the primary holdings. And I should be remiss if I didn't state that Hard Assets 1, Hard Assets 2 also engages in selling short path-dependent ETFs.
Thérèse Byars: How much does FRMO contribute every month to Horizon Kinetics Hard Assets 1 and 2? It was previously mentioned that it was around $150,000 to $200,000.
Murray Stahl: That's about right. However, we -- FRMO has taken some redemptions from HK Hard Assets 1. We've never taken redemption HK Hard. They're small. We've taken some redemptions and there are some reasons for that. Basically, we were using some of that money to fund the buildup of Winland. And there were also for reasons that would take a very long time to explain, there were some shares in Winland that were in HK Hard Assets 1 that we thought it is better for Winland to own directly, and we took those as a redemption in kind. There weren't a lot of shares.
Thérèse Byars: Were those shares transferred to FRMO or to Winland?
Murray Stahl: To FRMO, the Winland shares, they were transferred.
Thérèse Byars: That were transferred. Okay. Thank you.
Murray Stahl: There weren't a lot of shares, but they were transferred to FRMO.
Thérèse Byars: What was the purpose of incorporating Horizon Kinetics hard assets as an LLC versus as a fund?
Murray Stahl: We weren't sure we want client money in the beginning. And we never took client money in Hard Assets 1, and there are no plans to take any money. And LLC gives you a lot of flexibility in things you can do. struck us is for what we wanted to do, I mean, all these things had advantages, disadvantages. It was easier to do the things we want to do in the LLC format, and that's why we did it that way. Hard Assets 2 is now taking client money. So it's a different creature.
Thérèse Byars: Did management ever consider transferring their directly held Bitcoin and cryptocurrencies to Winland Holdings in exchange for additional shares?
Murray Stahl: Yes, we definitely considered it. The problem is we pay a very high tax to do that. So we realize the capital gain upon doing that, and it sort of defeats the purpose. We want to create value, and we're transferring a lot of value to the federal government, which I will admit, probably needs the money more than we do, but we just like to hang on to it for a little while longer.
Thérèse Byars: On the subject of electricity generation, can you talk about the water usage, how much water is needed to generate the power?
Murray Stahl: Well, I'll be glad to do that. Let me first explain before I talk about the number of what you need the power for. So it make more sense. So, basically, whether you use nuclear power or you use gas-fired -- natural gas-fired generation or even using coal. I know people think there are three different technologies, but really, there one technology. And that technology is called a thermal electric plant. What does thermal mean? It means that you boil water, you boil water, which creates steam, of course. And that steam drives a turbine. Okay. So everybody realizes what boiling water is, that's unhard. And the steam turns the turbine blades, that generates electric power. But what they don't know is why do they, how do they turn to turbine blades. So how does the steam make its way through the turbine blades? And the answer is the only way that's going to happen is there has to be on both sides of the turbine, a hot area and a cold area. These are relative terms. The hot area is obviously where you're boiling the war. So the other side of turbine blades with the steam that's coming out, that's got to be much colder. We need to do that to create a temperature gradient. If you create a temperature gradient, the hot is going to flow into the cold area. So you get an even consistent flow of steam through the turbine. So when the steam -- by the way, the steam is water. steam is just water that's now water vapor. If you take water and you raise the temperature, it becomes water vapor. It becomes a gas, which we call steam. Okay. So the steam goes through the turbine and to create temperature gradient, it's got to be cooled. A lot of ways you can cool it, but the most common way is to expose it to the air. So when you expose it to the air, you're going to evaporate a certain amount of water. that you have to reinsert to maintain the steam pressure. That's where the water -- that's why you need the water. Now you understand how it works in simple terms. According to the American Public Power Association, 11,857 gallons. I'm doing gallons because everybody knows what a gallon looks like. 11,857 gallons of water need to be used per megawatt hour of power produced, okay? Now 90% of that can be reused. 10% is going to be evaporated. So what's 10% of 11,857? Well, it's -- I ignore the desmos, 1,185 gallons per megawatt hour. How many megawatts in gigawatt, 1,000. So if you take 11,000 -- you take 1,185 gallons times 1,000, that gives you 1,185,000 gallons per gigawatt hour, but there are 24 hours in a day. So we're running contiguous continuously, that's 28,440,000 gallons per day. Now let's just translate into barrels. So if we want to translate the barrels, there are 42 gallons in barrels. I'm going to take 28,440,000 and divide it by 42. And that's going to equal -- I'm going to ignore the hundreds and just make it easy for everybody. It's roughly 677,000 barrels a day. There's 365 days in a year, so I multiply 365. That gives me -- I'm going to ignore now the hundreds of thousands. That gives me 247 million barrels at $0.50 a barrel, which is the going rate. Well, it's going to cost you $123 million and change for that water, okay? Now -- that's not your water bill. Because remember before, I mentioned power usage effectiveness. Well, if you've got a 1 gigawatt power plant, it's got to draw 1.58 gigawatts to service or fully energized at rate of capacity of 1 gigawatt. So I have to take this $123 million in change and multiply by 1.58, which I didn't do it right. So, let's say, let me do this again. So bear with me just a second, while I do it again. I hit the wrong key basically. 24 times 365 by -- okay, 247 million gallons times 0.5 -- 247 million barrels, 0.5. $123 million is your water bill, but I got to multiply that by 1.58. So your water bill is now $195 million a year. Are you finished? No, you are not because no power plant can run continuously. It has to go down for scheduled maintenance and sometimes it's going to go down for unscheduled maintenance. So to make sure your data center never goes down because you can never go down, you basically have to have another parallel plant running. So I got to take that $195 million and multiply it by 2. $390 million in change, that's your water bill. You haven't used a gallon of water for the data center yet. That just generate the power. That's a lot of water. So let's look at the engineering practicalities. You can't draw the water out at greater than a natural refresh rate of the aquifer or you destroy your water source. And if you're in a city, let's say, like New York City, even if you could draw the water out from the aquifer, let's say, in our case, the [ Growth America ] reservoir at that rate, which in practice, you never could, but assuming you could, and you could. The city's water system water mains are not designed to deliver that water to a data center located in the city or even the suburban areas. We don't have the water infrastructure. You can do it if we wanted to, if you even could. And then the most important point is a lot of people are going to object. So the only thing you can do is you have to go to an area where there's a lot of water and not very many people. And that's very hard to find. And the reason it's very hard to find is because whatever the culture is, whatever the period of history is, people as a generalization, they want to live near water. And you could see why. They need the water for agriculture, need a water live. Water is the most important substance all. So generally speaking, civilization has evolved near water. So you're not going to find very many water sources that don't have a lot of people around them. So if you do find such a water source, would you sell it? It's a rhetorical question, of course. Now you understand what's going on.
Thérèse Byars: That was our last question.
Murray Stahl: Okay. So, I hope you found this interesting. And of course, if I didn't answer the questions or as happened sometimes, if you realize you should have posted a question, but didn't pose the question and you'd like to pose it afterwards, feel free to contact us, and we will get you an answer. And of course, we will reprise this in roughly 90 days, and I look forward to doing that at that time. And in the meantime, thanks for being a great audience, and thanks for being great shareholders, and I bid you good afternoon, and we shall meet again. Thanks so much.
Thérèse Byars: Thank you. The conference has now ended. You may disconnect.